Operator: Good day, everyone, and welcome to the Chuy's Holdings Third Quarter 2020 Earnings Conference Call. Today's call is being recorded. At this time, all participants have been placed in a listen-only mode, and the lines will be open for questions following the presentation. On today’s call, we have Steve Hislop, President and Chief Executive Officer; and Jon Howie, Vice President and Chief Financial Officer of Chuy's Holdings, Incorporated. At this time, I will turn the call over to Mr. Howie. Please go ahead sir.
Jon Howie: Thank you, operator, and good afternoon. By now everyone should have access to our third quarter 2020 earnings release. If not it can be found at our website at www.chuys.com in the Investors section. Before we begin our review of formal remarks, I need to remind everyone that part of our discussions today will include forward-looking statements. These forward-looking statements are not guaranteeing future performance, and therefore you should not put undue reliance on them. These statements are also subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. We refer all of you to our recent SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial condition. With that all the way, I'd like to turn the call over to Steve.
Steve Hislop: Thank you, Jon. Good afternoon, everyone and thank you for joining us on our third quarter earnings call today. I hope everyone is staying safe and healthy. I'd like to begin by expressing my appreciation for each and every one of our Chuy's team members. Their relentless dedication in serving our loyal guests during this challenging environment has truly made a difference for both the company and our guests. And we believe their hard work is paying off as you can see from our third quarter results. During the quarter, we continued our business recovery and delivered comparable restaurant sales improvement of negative 19.8% from a negative 39% in the second quarter. As various states were easing their restrictions, we were able to make sequential progress each month through the quarter and culminating with a comparable restaurant sales of negative $13.8 million in September. At the end of the third quarter, 92 of our restaurants were open for indoor dining with various capacity restrictions. In addition, we continue to maintain a strong off-premise business of about 30% -- 33% of total sales during the quarter or more than double last year levels. Even as we've reopened up more on-premise dining opportunities for our guests all in all we continue to see strong demand for our offerings through all-current avenues of our business. We've also continued to make significant progress with regard to our operating efficiencies. For the third quarter, we grew restaurant level operating profit by approximately 12% and increased our restaurant level margin by 700 basis points on lower year-over-year sales. Our restaurant teams have done a tremendous job with cost of sales and labor management despite lower year-over-year sales. Looking ahead as in-dining rooms' restrictions are further loosened and our sales volume returned to a more normalized level, we would direct some of our efficiency gains to slow as we bring back additional costs. However, there is no doubt that the hard work of our teams during the last six months will have a long-term benefit to our operations. We have resumed a portion of our marketing effort with key messaging in the safety, convenience and value, all of which have been resonating very well with our guests during this uncertain time. Naturally these three key messages translate to what we do in each of our restaurants to ensure our guests can continue to enjoy freshly prepared craveable Mexican-inspired offerings. Starting with safety. Our investment in technology from this past year has certainly played an important role in keeping our team members and our guest safe while dining in our restaurants. We are currently testing a pay-at-the-table device, which will allow our guests to quickly complete their transactions while minimizing any contact point with our waiters. To further promote convenience, we are continuously improving our off-premise business through enhanced takeout, curbside pickup procedures and DoorDash delivery services. Even with all our dining rooms opened during the third quarter as I've said our off-premise business remains strong and performed at more than double our pre-COVID sales. Lastly, we have promoted value by streaming our menu offerings to feature a reduced number of entrées, as well as adding convenient family meal and beverage kits, which has proven to be very popular with our guests. As we go into the fourth quarter, we will start to add some of our popular menu items back into our main offerings with the support of digital marketing efforts to drive awareness. Before I turn the call over to Jon, let me quickly discuss our development. As you know we opened one restaurant in February and subsequently suspended development for the balance of 2020. Barring major changes in the external environment, we currently expect to resume new store development next year and are targeting four to six new restaurant openings in 2021, starting with a restaurant in Pembroke Pines and one in Indianapolis each expected to open during the first half of the year. With that, I'll now turn the call over to our CFO, Jon Howie to discuss our third quarter results in greater detail.
Jon Howie: Thanks, Steve. Revenues for the third quarter ended September 27, 2020 decreased to $82 million compared to $109.1 million in the same quarter last year, primarily driven by traffic decline due to COVID-19 including the loss of 117 operating weeks on temporary closures of nine restaurants, as well as a loss of 52 operating weeks from stores that were permanently closed during fiscal year 2019. In total, we had approximately 1,196 operating weeks during the third quarter of 2020. Comparable restaurant sales decreased 19.8% during the third quarter. As Steve mentioned our off-premise sales remained solid during the third quarter at approximately 33% of total revenue. Please refer to today's earnings release for our third quarter sales improvement cadence by period. Turning to expenses. Cost of sales as a percentage of revenue decreased 210 basis points to 24.2%, primarily as a result of switching to a limited menu and eliminating our complimentary buffet-style chips and salsa Nacho Car partially offset by 70 basis points increase in the cost of beef and 10 basis points increase in the cost of dairy and cheese. Currently through the fourth quarter cost of sales has increased approximately 80 basis points from the Q2 -- from the -- excuse me, the third quarter because of increases in prices of produce and dairy. These prices have remained elevated and we would expect cost of sales percentage in the 25% to 25.4% for the fourth quarter. Labor cost as a percentage of revenue decreased approximately 640 basis points to 29.1%, primarily due to reduction in hourly employees and store management personnel as the company transitioned to an off-premise operating model with reduced dine-in capacity coupled with hourly labor rate deflation of approximately 1.8% during the quarter. Currently we expect our labor costs to be in the 30% to 31% range during the fourth quarter as more dine-in opportunities open. Operating cost as a percentage of revenue increased 60 basis points to 15.4%, compared to last year's quarter, primarily due to increases in delivery charges and to-go supplies as a result of the growth in off-premise business, partially offset by lower credit card fees and insurance costs. Marketing expense as a percentage of revenue decreased 80 basis points to 0.6%, driven by the expansion of our national-level marketing initiatives in response to COVID-19 pandemic, while relying on a more cost-effective, local store digital marketing effort. We are planning to increase our marketing spend during the fourth quarter, as we resume our digital marketing efforts to around 1% to 1.1% of revenues. Occupancy expense as a percentage of revenue, increased 160 basis points to 9.1% primarily, as a result of sales deleverage of fixed occupancy expenses. General and administrative expenses decreased to $5.7 million in the third quarter from $6 million in the same period last year, primarily driven by reduced travel, recruiting and various other expenses as a result of cost-saving measures, in response to COVID-19. We expect our G&A to total approximately $6 million during the fourth quarter, including the accrual of special bonus to reward our employees for their performance, during this COVID-19 crisis and to make them whole from salary decreases that were implemented earlier in the year. In summary, net income for the quarter of 2020 was $2.8 million or $0.14 per diluted share, compared to a net loss of $1.8 million or $0.11 per diluted share in the same period last year. During the third quarter of 2020, we incurred a $3.4 million in impairment closed restaurant costs as well as a $0.6 million in deferred tax revaluation adjustment in conjunction with the CARES Act. Taking that into account, adjusted net income for the third quarter of 2020 increased 61.1% to $6.1 million or $0.31 per diluted share, compared to $3.8 million or $0.23 per diluted share in the same period last year. Before I turn it back to Steve, let me quickly touch on our liquidity and balance sheet. As of -- for the quarter we had $77.8 million in cash and cash equivalents, no debt and $25 million of available -- or availability from our revolving credit facility. We firmly believe that based on the steps we've taken, since the onset of this pandemic we are standing on a solid financial footing and continue to aggressively navigate this COVID environment. With that, I'll turn the call back to Steve.
Steve Hislop: Thanks Jon. While uncertainty surrounding COVID-19 remains, our business is recovering, with ample liquidity and strong financial footing, positive sales trajectory, relentless dedication of each and every one of our team members, and the strength of our concept. We are equipped to weather the ever-changing market conditions and are ready to capitalize on our improved business operations, once this pandemic subsides. And to our team members, I'm proud to be working alongside a tremendous group of people who work tirelessly to earn a dollar, every single day. With that, we're happy to answer any and all questions. Thank you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Chris O'Cull with Stifel. Please go ahead.
Chris O'Cull: Of course, [ph] good afternoon, guys. How are you?
Jon Howie: I thought there's a new guy on the phone.
Chris O'Cull: Jon, how should we think about the sales and cost correlation, as sales recover? I mean, do you think the recent 20%-ish romps in the past two quarters will increase or decrease as sales recover?
Jon Howie: Well again, we have limited some of the costs coming back, Chris. And so as we open the dining rooms, some of those fixed costs like we talked about last quarter. We're continually starting to bring those back. And also labor, as far as front-of-the-house labor will come back. But we do think that, we can maintain at least 300 basis points of some of this margin that we've accomplished in the current environment. So if you look at the pre-COVID and add about 300 -- or 350 basis points on that, I think we can attain that.
Chris O'Cull: And you gave some pretty detailed restaurant line item guidance on the last call. So I'm just curious whether something changed in the plans during the quarter for the third quarter, or if, you were just, trying to be conservative in light of the current environment?
Jon Howie: Well, really just being somewhat -- I don't know if conservative is the word or just not knowing what the environment is going to entail going forward, because we do have a couple stores that have gone back to to-go only. So -- and depending upon the volatility of what we're seeing kind of with the presidential and the lockups and stuff like that there's just a lot of uncertainty out there, Chris. So we've been somewhat conservative in that.
Steve Hislop: Yeah. Our crystal ball at, times get a little bit murky.
Chris O'Cull: Yeah. No. I understand. I'll get back in a queue. Thanks guys.
Steve Hislop: Thank you.
Operator: Our next question will come from Mary Hodes with Baird. Please go ahead.
Mary Hodes: Good afternoon. Thanks for taking my question. I wanted to ask on the comps. The pace of improvement appears to have stalled or maybe even reversed a little bit here in October. And I was just wondering if you could walk through, why you think that might be, including whether you're running into capacity constraints at that down mid-teens level, or whether you think the media attention surrounding the recent rise in COVID cases is having an impact? Just any perspective would be helpful.
Steve Hislop: Yes to all of the above. So I mean again and again that crystal ball thing is -- yeah definitely, it's definitely been an uptick in the news even more so lately. We do believe that, we're doing pretty well. The key thing for us, as we've mentioned in the last two calls, has been the six-foot distancing. Until that really subsides 50% to 75% of capacity doesn't really matter, because that 50% capacity is where we're at with six-foot distancing. So that's what we've been working on. So we're definitely getting closer to capacity although, we're not all the way there. We believe we can -- through the next few months, even with the existing capacity that we currently have, we believe we have the improvements that we can make in larger parties, and home dining, over the holiday periods at home, possibly a little bit of catering into the fourth -- last two periods in the fourth quarter. And we also believe with the little bit of marketing that we've added on, that we didn't start again until the beginning of the fourth quarter and we're one month into that, talking about safety, convenience and our value message. We believe will resonate with our customers also. So we do believe, we have some capacity as we move forward through the rest of the year, from our numbers in August and September.
Jon Howie: And I guess another thing too is, we've had -- we had some delays in school openings as well that...
Steve Hislop: Pushed back.
Jon Howie: …That pushed it back a little bit. But one thing we look at is, really look at the weekly AUVs. And if you look at those weekly AUVs they were about $68,500 in September and they're about $68,500 in October. So it's staying pretty good.
Steve Hislop: We're pretty excited…
Mary Hodes: Okay. Thank you.
Steve Hislop: …We're pretty excited with where we are at to be, straight up and honest with you.
Jon Howie: Yeah.
Mary Hodes: Yeah. That's helpful. And then separately, can you just talk a little bit about, what you're seeing in terms of guest feedback or customer satisfaction, since you've moved to the simplified menu and changed the labor model here with a fewer number of managers per restaurant?
Steve Hislop: Yes. We've seen some consistency in that pre-COVID and through this. I mean it's been very, very consistent. Obviously, the guests number one are happy that we're open with any type of menu in a lot of areas that we're in. And then they appreciate the speed and the safety issues that we've taken and the concerns that we have for them and our employees. So, again it's been pretty stable. As far as the manager reduction a little bit, again with a simplified menu and a different operating hours because we're not open as long as we were before pre-COVID. We close Sunday through Thursday at around 8. On weekends we're closing at 9. Again so the level of service levels are remaining very consistent and very good.
Mary Hodes: Thank you. That’s it for me.
Steve Hislop: Thank you so much.
Operator: Our next question will come from Nick Setyan with Wedbush Securities. Please go ahead.
Nick Setyan: Thank you. And congrats on the amazing margins. A couple of quick questions just to follow up on an earlier question. Did you say you went back to just to-go only on a couple of stores? And how's that impacted the quarter-to-date number?
Jon Howie: No. It hasn't impacted it that much Nick. But in Chicago, it went back to to-go only. As you know, we only have one open in that market right now. And then El Paso had a spike in COVID cases. And so they've gone back to to-go only. Those weren't significantly high-volume units anyway but those have gone back. So we're ready for those to open back up.
Steve Hislop: Yes. And then we're talking about a two-week time frame on those.
Jon Howie: Yes. 
Nick Setyan: Understood. Just to give us context any chance you'd be able to tell us like what the 2019 unit level margins for these 92 stores were just so we understand what the year-over-year comparison is?
Jon Howie: I don't have that with me Nick. I do not have that with me. But I can provide them.
Nick Setyan: Yes, no worries. No worries. And then just overall on the competitive kind of landscape, the four to six units next year is a pretty aggressive unit growth rate relative to what at least I was expecting. Are you seeing the comparative kind of decline in supply? Have you refined your new unit volume target or – and even your new unit economic targets?
Steve Hislop: Yes. With where we are – you're seeing us go, specifically the last quarter Nick, I mean and then the – and where we're heading – moving forward, we feel comfortable right now. If everything stays like let's say it is right now, we're comfortable moving forward with what we've been able to do with our management labor, our hourly labor, our smaller menu that we can execute and drive margin even in new units as we sit here today. So as we move forward that's what we'll be looking at. Again anything better than that we're excited about. And anything goes backwards we'll take a hard look at. But that decision on four to six is if what we see today or over the – specifically, the last couple of quarters – I mean a couple of periods remain the same.
Nick Setyan: Understood. Thank you very much.
Steve Hislop: You are very welcome.
Operator: The next question will come from Andy Barish with Jefferies. Please go ahead.
Andy Barish: Hey, guys. Can you hear from me? 
Steve Hislop: Thanks, Andy.
Andy Barish: The labor hourly wage deflation is something we really haven't heard much of. In fact, it's been more finding it a little bit tougher staffing. And obviously now with the COVID spikes just kind of managing through sick team members and stuff like that. But can you give us a little bit more color on the wage deflation actually?
Jon Howie: Sure. What we're seeing on that Andy is it's mainly the front of the house. The back of the house has actually ticked up a little bit. But I think the front of the house I think we – as we were waiting to hire people back I think some found other jobs. So we're hiring them back at some lower rates and as well as some of our to-go people were at higher wages. And as we hired them back to-go has been so busy that they're making so much money that we didn't have to hire them back at the rates that they were. And so the biggest driver of it is really front-of-the-house and to-go wages.
Andy Barish: Very helpful. And did you transition exclusively during the 3Q to DoorDash? And does that help as you kind of implemented – drive down some of the increase in delivery fees that seemed to show up in the 3Q?
Jon Howie: No. I mean we did that – we finalized that at the 1st of the year and fully got implemented with DoorDash in the first quarter I mean right before [indiscernible]. And so that's been in the whole time. But yes we've seen – with the increase we also implemented increases in our delivery. So we have a different menu on delivery and increased those prices with our regular menu prices in period two. And so that's helped us out tremendously on those fees – offsetting those fees.
Andy Barish: Okay. Thanks for the color.
Operator: Our next question will come from Jim Rutherford with Stephens. Please go ahead.
Jim Rutherford: Hey, thanks for taking the question. I wanted to circle back to Chris' line of question at the beginning of the call on margins. Just I was curious if you could break down that 350 basis points of what sounds like sustainable margin step-up compared to pre-COVID?
Jon Howie: Yes. I mean I'd tell you most of it James will probably be in labor. You're talking probably 300 basis points in labor alone. And the other 50 like we said I think when we get our full menu back I think our cost of sales will come back. But that will be gradual. But we still – we don't anticipate getting the Nacho Car back. So that's a savings of probably 50 to 100 basis points. So really those are the variables that are totaling up to that 300 350 basis points.
Jim Rutherford: Okay. Got it. And then on the table-side payment is that just payments, or do you envision this being expanded into maybe ordering and potentially even loyalty down the road? Just curious what the logic behind making that investment in table-side payment is.
Jon Howie: Right now we're just looking at table-side payments from a contactless standpoint. But we continue to test all different things handhelds. We currently still have handhelds in some restaurants that we're testing where the servers can take those orders on the handhelds. So we continue to test different items but this is a new thing at the – pay at the table. And it's really pay at the table through a QR code in your phone. So it works pretty slow.
Jim Rutherford: I see. If I could sneak just one more in there. I noticed that the average check growth I think accelerated sequentially a little bit. I'm just curious what drove that please.
Steve Hislop: Yes. What drove that is obviously when we reduced our menu some of the things that we took off were a couple of the lower-priced appetizer items, so people are moving up. So it's definitely on the product mix side of our business and that's what's really moved it up. And again, if you go out and into the marketplace, you're going to see a lot of menus as the same things happened out in the industry.
Jim Rutherford: Okay. Thank you.
Steve Hislop: Welcome.
Operator: Our next question will come from Andrew Strelzik with BMO Capital Markets. Please go ahead.
Unidentified Analyst: Hey, guys. It's actually Dan on for Andrew today. Thanks for taking the question. First, is the -- for me. Those four to six openings next year, I know you mentioned those do sound like they'll be in existing markets. But just curious if you're potentially looking at moving into any new markets next year or if these existing markets are really the focus right now.
Steve Hislop: It will be all in existing markets where we have strong AUVs already.
Unidentified Analyst: Got it. That makes sense. And then, Steve, I know last quarter you talked about how you guys had observed some competitive closures in some of your markets. So I'm just wondering if you've seen that kind of continue through the past few months or even accelerated in any way. And if you could just give us maybe some incremental details on what kind of stores you're seeing close and whether those are potential real estate opportunities for Chuy's either from a new store or relocation perspective. I know we've heard some others talk about maybe how some of the real estate development right now is lower quality, but I imagine that probably varies by market. So just curious what you guys are seeing.
Steve Hislop: Yes. I think what I mentioned last time is the rumor of it all happening. We haven't seen a whole bunch and I really don't anticipate to see a whole bunch. We've heard though some of the smaller ones local guys might have gone out. But, I think it's going to really be after the holidays, is where you're going to see it during the first quarter. And that's what we're looking for and that's why we'll be really taking a look at our existing market points and what's happening in the competitive landscape as we move forward. Again, not a ton of it so far. Again just rumors, whether it's restaurant news or what you're hearing out there. And again, a few locals. But as we get it over through the holiday, past the holiday into the first quarter, I am hearing a little bit more. And until that happens, we haven't seen any big trend in the sites opportunities, cost opportunities or any of that yet.
Unidentified Analyst: Okay. That's helpful. And then just one more quick one if I could. I know you had previously paused the marketing opt some time out. Obviously it's coming back here in 4Q. But I'm just wondering if there is a second wave of shutdowns, is there the potential to pause that marketing again, or are you more comfortable in sort of an off-premise only capacity kind of continuing those marketing efforts if we are forced to go through a second wave of shutdowns next year?
Steve Hislop: Yes. Thank you, great question. We're very nimble, okay? We're very nimble as we've been able to show and what we've been able to do over the last six months. And we'll continue to be nimble on any and all, whether it be cost expenses or whatever it goes from there. So we have the ability to turn on and off things as we like. What I like about this right now is in this environment the three main issues that we're doing, which is an all-digital and it's all paid both social and digital. We're talking about the things that I think are really are our drivers, which is the concerns of our employees and hourlies and also customers is safety being number one; convenience and ease of execution number two; and then value being number three, I think resonates in this period of time. But obviously, we'll be able to turn that wick up or down as we see fit. Right now, I'm comfortable over the next two months depending on whether we stay where we're at. And I expect as Jon mentioned that we'll probably increase our spend up to that 1%, and we'll play it by ear as we move forward. But I'm anticipating for that to carry over through into the first quarter and second quarter of 2021.
Unidentified Analyst: Great, thanks guys. Appreciate you taking the question.
Steve Hislop: My pleasure.
Operator: The next question will come from Todd Brooks with C.L. King. Please go ahead.
Todd Brooks: Hey, guys. Thanks for taking the questions. Just a couple left here. First, if you can talk about -- I know we've got the streamlined menu now, but you talked about some items coming back on here for holiday. Can you talk about the type of things that you're adding back and the impact on food cost as you bring these back on the menu?
Steve Hislop: Yes. Yes. And we're talking just a handful. We don't see a big food cost mix change, and so we don't see a huge effect on food cost per se. But you'll see us add a few of our appetizers that we wanted to add on, whether it be the quesadillas the nachos and the panchos. You'll see some of those pop back on. You'll see a couple of things an add-on salad that we'll be bringing back chicken enchilada, we'll be bringing back. And then through the winter time, it makes sense to bring back our tortilla soup and all that type of stuff that we make from scratch in our building -- that we'll do that daily. So those will be the main ones. And then, we also think coming back into the holidays, we have the Tres Leches cake that we want to bring back for everybody during the holidays, which makes a lot of sense for us. So again, that's a handful of items. And you'll see a stay there probably for the next couple two, three months and we'll evaluate where we're at in this pandemic and look at some sort of change in our menu around period three of 2021 where we might have some add-ons and a little bit of a newer menu right around then. As long as things are progressing well through the pandemic and we're getting a little less of the social distancing sizes.
Todd Brooks: And Steve, with some of these additions being kind of plus items, whether it's appetizers or desserts, do you think that there's an average tailwind as you add these back to the menu, or are they replacing things that are in the same categories?
Steve Hislop: I think it could go down a little bit to be straight up and honest with you. Because again, it's bringing back the appetizers, it's a little bit lower check average. And if you've eaten in our restaurants if you eat our appetizers, there could be full meals on how people eat them in our restaurants. So it could be a tad bit. And again it really goes along with that convenience and specifically value message that I wanted in the holiday time period. But no I don't expect the check average to go up. 
Todd Brooks: Okay. Great. And then my final question, if we just talk about maybe how many stores you're able to do alcohol to go with the to-go orders, how many of the stores is that in? What percent of off-premise sales is alcohol? And do you think that this -- now that that the genie has been led out of the bottle that this is here to stay and you'll be able to do it…
Steve Hislop: I think it is, yes. Thank you. I apologize. I think it is here to say. I mean once -- and anybody that had some revenue it's going to be hard to move away from it from a tax perspective, especially in the local government. So I think that is here to stay. I'd say, we probably have it in the 70% to 80% of our restaurants. And right now the alcohol sales is about 3.1% of our sales. Again that... 
Jon Howie: Of to-go sales. 
Steve Hislop: Of to-go sales. So we feel pretty good about that and it's been consistent over the last two to three periods in a row. And again, I see that staying there. And I do think you might end up seeing that 70% to 80% get bigger as time goes by also. So we like it and we'll continue with it. 
Todd Brooks: Yes. And a quick follow-up. I know you've had some success with kits. Do you have further adult beverage kits in development that could drive that mix higher? 
Steve Hislop: Right now we have a whole bunch of things we're looking at but nothing ready to talk about or roll out. 
Todd Brooks: Okay, great. Thanks.
Steve Hislop: Thank you.
Operator: [Operator Instructions] Our next question will come from Brian Vaccaro with Raymond James. Please go ahead.
Brian Vaccaro: Thanks. Jon I wanted to circle back on store margins if we could and appreciate your fourth quarter guidance there. But could you give us some perspective on the margins kind of as you moved through the third quarter? And give us some -- any perspective on where margins were quarter-to-date? 
Jon Howie: As far as quarter-to-date in the fourth quarter?
Brian Vaccaro: Yes. 
Jon Howie: Yes. So we just closed out the period 10 and so we're still finalizing those financial statements. But they're similar. They're a little lower by probably 100 basis points, but they're in that range. I think I said on the call last quarter that margins were in that 19% 20% range in July, August and September. They remain kind of right around that 19% to 21% to come up with the ones that we had here in the quarter. So they're consistent right around that 20%. I mean the things that we're looking at in the fourth quarter obviously is -- it is our lower indexing quarter. So we'll have -- it is our lowest indexing quarter. So we'll continue to have if there is some if we stay consistent it could have some deleverage there as well as -- if it does increase a little bit and we're able to open our dining rooms back, we're going to have some added costs there. But we still expect it to be in those high teens. 
Brian Vaccaro: Okay. That's great. And speaking of seasonality when you look back at the fourth quarter your historical seasonality if you will or maybe just hone in on Q4 of 2019. Can you remind us how much lower are your AWS in December as it relates to October, November, or just maybe comparatively to October? 
Jon Howie: So if I'm looking at Q4 of 2019, I mean we're looking at average AUVs in the like $70000 -- high $70000 range in Q4 2019. And in Q3 we were at last year at about $81000 to $82000 a week. So that ought to give you kind of the drop there. 
Steve Hislop: Having said that... 
Brian Vaccaro: Right. I guess the question was does December -- are October through December pretty even, or is there a continued falloff as you move into the holiday season. I just -- that's really kind of like the cadence quarter. Sorry if I didn't ask that effectively. 
Jon Howie: Yes I'm sorry. There is a continued falloff during the holidays except for that kind of last week of the year. That's probably one of our biggest weeks of the year generally. I don't know what it's going to be this year but that week between the Christmas and New Year's tends to be a very big week for us. 
Brian Vaccaro: Okay. And sorry Steve, I didn't mean to talk over you. What was that? 
Steve Hislop: No that was good. I was about to interrupt Jon, but I know him better. 
Jon Howie: Yes. The other thing too I might mention and this was asked earlier, I think by Nick the difference between -- if we were looking at our existing stores and what we call the existing -- they were in the comp base at the end of the year which was that 81 stores. Our margins have increased about 430 basis points on those stores. So I'm not for sure kind of what the question was, but our existing stores have had a significant year-over-year margin savings as well. 
Brian Vaccaro: Okay. Great. Real quickly on commodity inflation, has the beef inflation you saw in Q3 abated at all, or what are your 4Q commodity inflation expectations? I'm curious, if you have an early look based on your contracts et cetera on how you think 2021, could play out from a commodity standpoint. 
Jon Howie: Well we've actually -- our fajita beef has been somewhat consistent. And we've actually -- we're starting to lock up 2021. We think we'll be at a decent price on that. But we did have increase in ground beef a little bit that's what's driving that. But the biggest thing on that is not as much price it is mix. Because our mix is really skewed towards fajitas and with these fajita kits and what people are getting at the store. So that's really what's driving that increase in the cost of sales is a higher-priced item at a higher mix. 
Brian Vaccaro: Right. Great. And I guess the last one for me. I know it's only been a few hours, but I wanted to ask about the Florida state minimum wage increase that was voted in earlier this week. Could you help us frame how much of a cost pressure that represents with the tipped wage sort of expected to increase pretty meaningfully over the next five years? I know Florida is only say 10% or so of your stores. But could you help us frame that at a high level?
Jon Howie: Well, I'd tell you what it's just been a few hours you're right. I still haven't got over -- I shouldn't say but -- so anyway no I mean we're still analyzing that. But I mean you can see those rates in pretty well. We won't have that entire rate, obviously because we're above some of those rates already, right? So it's not going to be the significance of all of that rate on our wages. But there will be a good piece that obviously will raise the overall rate wages too which we don't know how that will impact until they start being implemented. 
Brian Vaccaro: Okay. And Steve, I guess, while I have you on that topic just generally speaking thinking about server wages in most markets are you that much above say the tipped wage that's allowed in that state? I know back of house you can see wages that are well above state minimum wage levels. Just curious if that wage dynamic holds on the server side, or does say in Texas $2.13, say in Florida you're in the $5.50s. Just broadly curious on the server entry wage topic. 
Steve Hislop: Yes. Right now you're going with the tipped wage whatever that's by market-by-market. So we're at or above it in each and every one of the markets that we're currently already in. 
Jon Howie: Yes. Probably the one thing to look at that there are some that are indirectly fit that we will pay more obviously.
Brian Vaccaro: Yes.
Jon Howie: And some that aren't that we still have at the front of the house and that would be your hostess and some of those that are paid more than the regular wage not tipped wage. So that's all going in the front of the house as well. 
Brian Vaccaro: Yes. Okay, great. All right. Thanks, guys.
Jon Howie: Thank you, Brian.
Operator: Our next question will come from Chris O'Cull with Stifel. Please go ahead. 
Chris O'Cull: Hey, thanks. Most of my questions have been answered, but I had a couple of follow-ups. One was, Steve do you think it's going to be difficult to rebuild sales in the nine stores that have been closed for the past several months? 
Steve Hislop: Chris, I think, those markets we'll take a hard look at them. Again as I told you last time, I'm going to be visiting those in this fourth quarter, really to understand the changes in those markets based on competition and everything that's happened in the marketplace as we looked at them. We're going to make sure that we have the opportunity not only to build, but also grow or we'll make a tough decision possibly not to open them. So we will look at all that stuff. 
Chris O'Cull: Okay. And then I know patio sales were running up I think 10%, 13% at the end of the last quarter which was up year-over-year. Do you guys have an update on the patio mix for the third quarter? And then should we expect the tailwind from that to abate in the fourth quarter with cooler weather? 
Jon Howie: Yes. So at the third quarter we were at about 11.5% for the quarter and that's compared to 7.3% last year. So we've seen a significant increase in that. If you look at period 10, period 10 and the first period into the fourth quarter that actually jumped up to 13.3%. So we're still seeing some decent days to be out in the patios, definitely in the Southern markets. And so we continue to build that. Obviously, when we get into the heavy winter that may come back a little bit. But we've done a lot of things to extend that patio. We've extended the patios but then we've put heaters out there and things like that to extend that patio season. So we're pretty happy where we are but we do know in the winter months that that could come back a little bit. 
Steve Hislop: Specifically, in December, January and the beginning of February. 
Jon Howie: Yes. 
Chris O'Cull: Okay. Great. Thanks, guys.
Jon Howie: Is that it? 
Steve Hislop: Operator? 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Steve Hislop for any closing remarks. Please go ahead, sir. 
Steve Hislop: Again thank you guys so much. Jon and I appreciate your continued interest in Chuy's and we will always be available to answer any and all questions. Again, thank you. Stay healthy and have a good evening. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.